Operator: Good day and welcome to the Cargojet Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Pauline Dhillon. Please go ahead.
Pauline Dhillon: Thank you, operator. Good morning, everyone, and thank you for joining us on the call today. With me on the call today are Ajay Virmani, our President and Chief Executive Officer; Jamie Porteous, our Chief Strategy Officer; and Sanjeev Maini, our Interim Financial Officer. After opening remarks about the quarter, we will open the lines for questions. I would like to point out that certain statements made on this call, such as those relating to our forecasted revenues, costs and strategic plans, are forward-looking within the meaning of applicable securities laws.  This call also includes references to non-GAAP measures like adjusted EBITDA and adjusted EBITDAR. Please refer to our most recent press release and MD&A for important assumptions and cautionary statements relating to forward-looking information and for reconciliations of non-GAAP measures to GAAP income. I'll now turn the call over to Ajay.
Ajay Virmani: Thank you, Pauline. And thank you everybody for joining us this morning. It has been a really busy quarter for us, but we are very excited about these developments mean for our future.  As you know the following. First, on March 29, we announced new strategic partnership with DHL. This CAD 2.3 billion deal over seven years is one of the largest single transaction in our history so far. We are very excited about the opportunity because it allows us to scale our business to the next level. And as we scale up, the economies of larger scale will benefit all of our customers. Number two, we are excited to announce a share purchase program under NCIB. Number three, we're also announcing a dividend increase of 10% effective our usual cycle, starting June 2022 for all of our shareholders. And number four, we are also very pleased with our Q1 performance, which I will talk about later.  Before I talk about Q1 results, I would like to share a few thoughts on how Cargojet is positioned for the current environment. We are fully aware that there are a lot of uncertainties on the horizon – high inflation, high oil prices, rising interest rates, and the lingering effects of COVID.  However, at the same time, global supply chains remain very disrupted and the future of passenger air travel and belly capacity on international lanes remains uncertain. These factors, on the other hand, have created a tailwind and opportunities for Cargojet.  We have prudently diversified our business that does not rely on a single line of business. Our ACMI and all-in charter business are performing strongly, and our domestic network continues to support Canadian e-commerce growth. While there may be short-term volatility in the e-commerce trends, we believe the structural shift towards digitization will continue to be a tailwind for e-commerce in the longer term.  Traditionally, the number one headwind for the airline industry has been the cost of servicing debt. Airlines are a highly capital intensive business, so debt is part of the business model. But anticipating the inflationary pressures and the interest rate risk, we took a proactive step in January 2021 and made a strategic decision to derisk our balance sheet. We did an equity raise and used the proceeds to pay down majority of our debt. As a result, we have been maintaining a very low leverage and are now better protected against the cost of raising interest rates.  Cargojet owns 93% of its fleet that has a fair market value of over $1 billion. These are unencumbered assets that are highly sought after given today's supply chain demands.  Even our previously announced CapEx program, we do not expect our leverage debt-to-EBITDA ratio to exceed 2.5 times. This business continues to generate strong cash flows which we're using to invest in our growth.  We continue to manage our business prudently and are very aware of the uncertainties ahead. We are ensuring that all CapEx and OpEx is justified and well supported with real opportunities. Our ability to react to the changing environment was tested at the start of pandemic in early 2020. And as a nimble entrepreneurial company, we will continue to adapt to the changing environment.  I make these points because we believe that, in order to be competitive, we must have a strong balance sheet. In the long run, only stronger companies will be able to maintain their leadership position.  Now I'll turn the meeting over to Jamie Porteous, our Chief Strategy Officer, to talk about Q1 results.
Jamie Porteous : Good morning, everybody. And thanks, Ajay. We're starting the year with yet another strong quarter, with revenue growth of 45.7% compared to the prior year. While we are pleased with the double-digit growth in all lines of our business, we've benefited from very strong demand in our all-in charter business that grew 298% versus the prior year. This was primarily driven by strong demand for transportation from China. Our diversification strategy continues to allow us to leverage our various offerings that are meeting a diverse set of customer requirements.  The adjusted EBITDA for the quarter came in strong at CAD 83 million compared to CAD 64.2 million for the same period in 2021, an increase of 29.3%. This also reflected tighter cost management for both direct as well as indirect expenses.  We are starting to make progress in bringing the crew cost down, but more work is needed to bring it back to our expected run rate. With our continued focus on finding efficiencies, our SG&A cost was down 32.5% for the quarter compared to the prior year.  The strong top and bottom line performance reflect the resiliency of our business model that is taking advantage of growth opportunities as supply chains remain disrupted and unpredictable.  On the operational side, volume growth remains very strong. Average daily volume is up 21% in Q1 versus the prior year. As planned, we grew our fleet to 32 aircraft at the end of Q1 2022 and our on-time performance remains in excess of 98%. This is a critical deliverable, given the importance placed on this target by our customers.  As we continue to grow, our focus is shifting to building a strong management team in each of our growth segments. We previously announced the formation of our international cargo team that will aggressively pursue opportunities to build complementary international business around our domestic network.  We are also continuing to invest in talent to further strengthen our domestic network business. Our human resources team is very skilled at attracting and retaining talent at all of our key airport locations. This is allowing us to maintain high customer satisfaction levels despite strong volumes being carried. We have significantly enhanced our investments in technology, cybersecurity, and business analytics to support the next phase of our growth.  Cargojet has always believed in the power of great people working together. To achieve strong results quarter after quarter requires a discipline that can be repeated over and over again. This can only be achieved with a talented workforce. We are very proud of the Cargojet team for delivering yet another strong quarter for Cargojet.  This concludes our opening remarks, and we will now open the call to questions.
Operator: [Operator Instructions]. Our first question today comes from Fadi Chamoun of BMO.
Fadi Chamoun: Your performance in Q1 on the growth side year-on-year was quite spectacular, obviously. And just wanted to get your thoughts on kind of how you're seeing the demand going forward. A number of your customers have reported slowing volume in the first quarter and a little bit more cautious on the volume growth story going into the second quarter and the rest of the year. And I noticed in your own volume in the domestic network quarter-over-quarter, the performance in Q1 versus Q4 was quite weaker than we would typically see on a quarter-over-quarter basis. So, maybe you can just give us some thoughts what your customer is providing you in terms of forecast going forward.
Ajay Virmani: Well, I'll take it and Jamie can tweak my answer. We have been in touch with most of our customers that ship large volumes with us today. Any forecasts that we have seen from them for the rest of the year, they have not certainly shown slowness that people are talking about.  Now, even if we would take their volumes and their forecasts and take the market factors in advance, we still believe that we'll have tremendous growth going forward. But that's one of the reasons the company has always, for the past three years, had a target of diversifying our business, so we're not just dependent on one line of business. So, if there is a bit of a slowness in the e-commerce, we also have the ACMI program and the charter program going and now we are also expanding to the international, not to be dependent on one line of business.  Yes, we are aware of certain slowness in the e-commerce sector that are being forecasted. But keep in mind Canada, especially, was 5% to 10% behind on e-commerce growth compared to the US and compared to Europe and Asia. So, there's still a lot of catching up, and we still remain behind in terms of growth in e-commerce. So even some of our US based customers who do a lot of shipping in Canada have pointed that out, that although they've seen some slowness in US, Canada's ecommerce has not slowed down to the level which US has.  Jamie, you want to add to that?
Jamie Porteous: Yeah, no. I would concur with Ajay. I think in all three segments of our business, we're seeing strong year-over-year demand continuing into Q2. Our Q1 results, overall, one of our strongest quarters ever year-over-year, almost equivalent in total revenue to Q4, which is significant, obviously, driven by the tremendous demand for all-in charter. We did a number of charters from China, bringing rapid test kits back into Canada. The demand for that is somewhat slowed, but for the rapid test kits, the demand out of China hasn't slowed at all. It was somewhat muted in the latter part of Q1 and the first part of Q2 only because of shutdowns because of COVID outbreaks in Shanghai, but the demand for ad hoc charters remains extremely strong and so does pricing.  As Ajay said, our domestic business, we continue to see strong demand going into Q2. We've also seen in Q1 some shift of some traditional ground volumes, particularly with Canada Post that moved some volume. Because of lack of ground transportation, either trucks or drivers and the shortages that are there, we're seeing an uptick in volumes. And then, of course, as we add more ACMI flying, we see tremendous growth opportunities for the balance of the year.
Fadi Chamoun: The charter revenue that we saw in the first quarter were quite strong. And you mentioned some kind of slower demand now from China, maybe because of this shutdown we're seeing. What's the kind of the right range for the charter going into Q2 based on what you're now expecting?
Ajay Virmani: I think it's not the demand that slowed out of China, it's the logistics because of the Shanghai factor. For the first six weeks, there was no – actually first four weeks probably, we just started operating back into Shanghai. So, as a matter of fact, the demand from there, if we could do three flights a day into China, we would be able to sell all of those. So, actually, for the four weeks that the shipping didn't happen out of Shanghai, especially, there's even more tremendous demand, which, obviously, not one carrier or not ourselves can fulfill. So, factories are just bursting out at the seams right now. There's a shortage of airlift and shortage of people at Shanghai airport. It's not a matter of how much demand there is. It's a matter of how much we can handle. So, we believe that quarter two would have strong international charters or all-in charters, but, obviously, the China part was slow for the first four weeks.
Operator: We will now take a question from David Ocampo of Coremark Securities.
David Ocampo: I guess, in your MD&A, you guys talked about strategic initiatives, particularly in the outlook section and I think M&A was also flagged in there. Can you walk us through how we should be thinking about those initiatives in light of your big CapEx plan and the corresponding increase in leverage?
Jamie Porteous: In terms of the outlook, I think we indicated that continued very strong demand in all business segments, both our domestic business driven by high ecommerce demand, certainly are all-in and international Business continuing to – as Ajay just articulated, continued very strong demand, we just don't have enough aircraft to meet the demand that exists globally, as well as our international expansion projects. And then, of course, the previously announced initiatives with our ACMI business, particularly with DHL that as aircraft come in this year and next year – we may have talked a little bit in the outlook, I don't have it in front of me about our continued investment in 21Air and we continue to try – as we said in previous quarters, we continue to try to download and instill some of the operational and financial excellence that we've brought to Cargojet in 21Air and certainly leverage our relationship with our customers, particularly DHL to help grow that side of the business.
David Ocampo: I guess, Jamie, should I be thinking about the growth CapEx that you guys laid out, there could be some incremental to that or are you guys kind of laying out all your plans here today?
Jamie Porteous: No, I think we're pretty comfortable with the growth CapEx that we've already articulated and announced.
David Ocampo: I guess, just follow on to that, my last one here. Sanjeev, do you guys have any update on your CapEx plans? I know you guys provided some pretty wide ranges that were 2023 and 2024. Have you zeroed in on what that looks like today?
Sanjeev Maini: It will be same as what we had projected earlier. At present, there is no additions to our plan. We are still on target for what we had declared in our Q4 outlook.
Operator: We will now take a question from Chris Murray of ATB Capital Markets.
Chris Murray: My first question is just on the domestic network and the addition of the 757s. Just wondering if you have any additional color or commentary to talk about how those have been working into the network and your expectations as you bring in the additional 757s into the network later this year. And if you can maybe give us an idea how you're thinking about releasing some of the 767s.
Ajay Virmani: We haven't started the program yet because we don't have the aircraft available. But we plan to start – probably earliest would be end of Q2. This would be a phased-in approach. It's not just like you take all of a sudden and change the whole thing. It'll be three major routes that would see those changes. And those changes would happen end of quarter two and beginning of quarter one next year and then quarter two next year as well. So, yes, it will free up some 767s which are highly in demand. There will be some rejigging of the network. We are in continuous discussion with our customers as to planning for those. If, for example, a 767 is flying a certain route with a stop in, let's say, Winnipeg, one 767 could go directly serving that city, let's say, to Edmonton, we could go fly directly Hamilton, Edmonton, and avoiding the stop in Winnipeg for one of the 757, which improves the service tremendously and also eliminates the risk of stopping in Winnipeg for all of your freight. So, all those things/initiatives are under discussion with the customers. We don't make changes unless all of our major customers on are on board and they can see that we have actually improved the service. So, that's a phased-in approach, and it'll be about 12 months before we do that strategy because all the aircraft, 757s are being converted right now. And out of the seven we're expecting, we only have one so far. So, it's going to be a bit of road, but it's a promising route, for sure.
Chris Murray: Just on costs, a couple of different questions here. First of all on fuel, can you just remind us how the passthrough mechanisms work? Certainly, fuel prices are up pretty substantially. And then, just wondering if there's any concern about some timing differences that could impact you.  And then, you talked a little bit about labor costs, how much more do you think is available to be able to be gained just with your labor efficiencies?
Ajay Virmani: Well, the fuel, basically, our policy has always been we don't make money on fuel, we don't like to lose money on fuel. But having said that, we also have to look at competitive factors in the marketplace. That being the goal, we always pass on, but there is a bit of a lag, which is about a month, I would say, before we get the previous month's or current month's price that would go into effect the next month. So, it's not a huge lag, but there is at least a month lag in that, but we recover it the following month. And this is how the mechanism has worked for the past one year for us. Every customer has contractually a few escalation formula that we supply to them. Some are based on CANSIM index, some are based on market pricing. So, depending on the contract, they're applied a month into the lag and that's how the fuel formula works.  As far as the labor efficiency is concerned, every company is facing headwinds today in terms of labor. I don't think the labor costs are coming down anytime soon. As a matter of fact, they are on the rise. We all read papers, we all know that it's hard to find people. The workforce, especially today, they not only are used to the hybrid model of working out of the house, but there has also been certain increases in wages throughout the country or throughout North America, I would say.  So, what do we do to counter that? It's absolute efficiencies, like, we have established a department of transformation and operational excellence. And this is where the key comes in that how do we fine tune to get the best utilization and best utilization of labor and all resources. So, I won't have any expectations that the wage rates will come down, but certainly Cargojet is positioned and positioning itself to operate more efficiently and not lose any loose ends or anything on the table that we can gain efficiencies on. So, this department was specially established to make sure that we are effectively and efficiently using all of our resources. 
Operator: We will now move to a question from Walter Spracklin of RBC Capital Markets.
Walter Spracklin: First, starting with the competitive landscape, obviously, international is the only one area where you do have real competition and Air Canada has now started deploying its dedicated freighters. WestJet has announced a new partnership with GTA. Anything that has come from that that unexpected to you, Ajay, in terms of where they're deploying that aircraft and the manner they're doing it?
Ajay Virmani: Actually, not really. From what we have seen in the marketplace and our market survey and intelligence of the customers, the routes that they have deployed on do not interfere with our routes in any which way. Am I going to lose 1,000 or 2,000 pounds shipment here and there? Probably we do. But also keep in mind, with our expanding network, we'd also gain some shipments. Obviously, we provide service to 16 domestic cities between the hours of 12:00 at night and 5:00 in the morning. And that network is our key network that performs at 98%. So, if they announced a flight into Halifax at I think around 3:00 in the morning, getting into Halifax, 5:30, 6 o'clock. But just keep in mind, some of these things go through Toronto Airport, which if you're deicing you could be half an hour more than that, even though requirements of tendering freight are an hour or two hours before where, in our case, you can bring it in 20 minutes before the flight and it'll get on.  So, there's a lot of competitive advantages and cargo pedigree and discipline that Cargojet has. So, we don't anticipate from the present announcement that there's anything that we are concerned about that would affect us today.  But, again, this is where our operational excellence department is looking at. How do we keep our performance up over 98%, 99%, introduction of the new 757 program, direct services into every major city. Within 12 months, we will have every major city out of Ontario and Quebec service directly without nonstops. So, these are some of the advantages, competitive edges that we have and we are focusing on those to fine tune more.  So, not at the moment, we don't see any impact on our service. We fly twice a week into Cologne, for example. They've applied for rights for one flight into Cologne. There's so much business out of Germany. And to be honest with you, Cargojet announced seeking rights into Frankfurt. So, there is a lot of international backlog. There's a lot of international business. There's a lot of carriers flying it. The yields are still very high and we're confident that we can pull through this.
Walter Spracklin: Moving on to the ecommerce discussion about potential downturns, even if your customers are saying strong demand, let's use the hypothetical that it turns the other way unexpected to them, can you describe how that would affect your contracts, given that there's a lot of prepurchase space by those customers? Can you talk a bit about how much of that space is your backstop space that they are required to purchase, even if we do see a downturn this year?
Ajay Virmani: Well, if we see a bit of downturn, there is probably, I would say, three nights out of five, we operate – we're actually operating seven nights [indiscernible] but skeleton schedules on Saturday and Sunday. But let's say, the prime demand days, Monday to Thursday, we probably turn away a fair bit of business every day that we can accommodate. So, even if there was a bit of a slowdown, we anticipate that we would carry volumes we are carrying today. Yes, there will be some slowness in the customers. And to be honest with you, with the new network that we are planning domestically, would give us the flexibility that we can scale up to a 767-300 if the need requires on a route, we can scale down to the middle, which is a 767-200, we have that asset. And we also have 757, which is a further downgrade. So, if your costs are going to go up because your volumes are up, great. But if your volumes are down, we also have the ability as we take delivery to have more flexibility to divert the aircraft, either where there's higher volume, higher gauge aircraft and they're lower.  And also, again, as you talk about ecommerce, and this is exactly, Walter, our strategy was to diversify. So, we're not 80% or 90% of our business is dependent on the domestic ecommerce. So the strong ACMI charters and international would kick in as well.
Walter Spracklin: Final question here is on the ACMI and you talked about diversification. Just curious, you've got a lot in with DHL right now. Are there other customers that you continue to look at on an ACMI basis? Or do you feel like DHL encompasses the largest amount of what you want to apportion ACMI and looking at block hour for any other capacity that you're bringing on that's not been dedicated to DHL? 
Ajay Virmani: Yeah. DHL, although is a very strong customer of ours and one of the biggest users of ACMI services for us, but keep in mind, we have a distinct advantage with DHL, which a lot of other operators don't. We're the only company and the first company DHL has given a long term five year with a two-year option deal too. So, we believe that we have a strong case for staying with what DHL is using today. But also, we have a couple of other customers. Whereas with Amazon, we fly two CMI aircraft. And there's two other customers that we are in discussion with some ACMI business as well, which obviously we can't reveal at this stage. But, yes, we are trying to expand that ACMI business overall and not just be reliant on DHL, although DHL is one of the strongest partners we have. So yes, there are discussions with other as well. So, stay tuned.
Walter Spracklin: Congratulations on the great quarter.
Operator: Our next question comes from Konark Gupta of Deutsche Bank.
Konark Gupta: It's actually Scotiabank. Just echoing my congrats on the quarter. And the first question is on the fleet. So, I kind of noticed in this fleet table you provided versus the last quarter, this was slight change. I think seems like some of the aircraft might have pushed to the right. Just wanted to understand, it seems like, high level, the fleet plan remains intact over the next three, four years. But what's causing that shift, like a quarter or two shift between 2022, 2023, 2024? [indiscernible].
Jamie Porteous: Part of the cause has just been some delays in the conversion of the aircraft, either COVID related delays at the facilities that are converting the aircraft that we experienced in 2021 and certainly continue to experience a little bit of that in 2022, and then combined with supply chain delays in parts that are used for the conversion of the aircraft. That's really the only reasons that have pushed any of the deliveries to the right.
Konark Gupta: Then I think that's expected. Does that change the CapEx cadence you provided last quarter, Sanjeev? 
Sanjeev Maini: No, that will stay the same. Only thing is CapEx will just move from one quarter to other. Cash outflow will be still the same. 
Konark Gupta: Last one for me. Any talk about the international airline widebody capacity and belly capacity, how it's structurally impaired, maybe perhaps not going to come back to the levels that we had pre-pandemic? It's pretty higher level discussion, I guess. But just want to understand, like in terms of your own kind of thought process on that, are you seeing – like, we know, obviously, the airlines are ramping up capacity back to where they want it to be? Obviously, it's not still back to normal. In your sort of analysis, do you see major airlines, international airlines across transatlantic? Are they not deploying the widebody aircraft that they were once deploying? Or are they not carrying as much cargo in those belly capacity? What are you seeing out there because, obviously, airlines are telling us that they are ramping up capacity? And most of the airlines are saying they're going back to pre-pandemic levels of revenues this summer. So, just trying to kind of connect the dots here. 
Ajay Virmani: Konark, a number of opinions on that. So, what are we seeing out there. We're saying that, number one, the belly capacity is not fully back. So, we all agree with that. We also know that the 747s and 380s that used to fly globally internationally, a lot of them have been taken out of service. So, the biggest aircraft right now that is serving is A350, A330, Airbus or 777 aircraft. But we're seeing a lot of less frequency. As you probably know and read that most of these airlines have been relying on business travel, business travel is not coming back anytime soon and is not picking up the way leisure travel is. So, when leisure travel happens, there is a lot of people on a flight and there's a lot of baggage, the room for cargo declines. So, we're seeing that trend.  We're also seeing that the frequency of these flights is a lot less than – there used to be 8 or 10 flights a day into London, and there are probably half of them now. We're also seeing that downgauges of aircraft. And when you talk about downgauges, it's not just 737 can do – drawn to Europe these days. So, we're seeing some of that trend in the markets. But also the downgauges are done sometimes at the spur of the moment when airlines realize they don't have a certain capacity or certain load factor, they downgauge aircraft consistently. And when downgauges happen, it also reduces the reliability of that carrier. So, these downgauges certainly are being done because of the passenger demand. So, all the cargo operators or the cargo freight forwarders cannot live with that kind of uncertain environment.  But in the long term, what the last two years have done is that carriers like DHL, who relied heavily on passenger belly capacity, are now used to a different method of operating. They have adjusted their hubs and networks to a very different model because – let's say, for example, if a shipment came in from London to Toronto on four different flights, now it's coming on, well, one flight. So, they have adjusted their hubs and network with that better service and they can be more competitive with integrators that are out there in the market. So, there has been a market shift and some of the shifts are very permanent that the belly capacity, even if it came back, these shifts are not just going to say, okay, we're going to change our business model that has made them competitive and more effective and more efficient that they will just go back to the old belly model.  So, I'm not disagreeing that the belly will come back to some degree. But to be honest with you, you look at a lot of companies today that are getting into the air freight business, just because they feel the demand – a lot of people are now shifting towards air freight from surface transport, the challenges of the truck drivers or trucks, challenges in the ocean freight business. The ocean freight rates are about three times what they used to be. The differential is not that much with the air freight now. So, companies even like Maersk, Maersk ocean lines have now bought three airplanes to go into the air cargo business. So, we anticipate some capacity coming back at some point as life normalizes. But some shifts are permanent and some shifts we feel are stronger for us and will continue to be stronger. 
Konark Gupta: And congrats again. 
Operator: We will now move to a question from Tim James of TD Securities.
Tim James: Congratulations on a great quarter here. I'm just trying to return to sort of the domestic network and the 10% plus year-over-year growth there. It's a tough question to answer. But can you tell if that now represents kind of a normalized – and I say normalized meaning the next year, two years growth in ecommerce? Do you think there's still a residual benefit from kind of the pandemic? Maybe some of the lockdowns or the restrictions that were still fairly significant in Q1? Or do you think that's kind of getting back to a more normalized kind of growth rate that reflects what you were talking about earlier, Ajay, about Canada being behind the US, et cetera?
Ajay Virmani: Well, what we are seeing is that in the ecommerce people are flocking to the stores. Definitely, right? So, we've seen announcements by Amazon and others saying they're finding certain slowness. But we're also seeing that people are not flocking to the stores to buy daily supplies, like I always use the word toothpaste and toothbrushes going in in ecommerce. Because people are – yes, they're going to the stores, they want to go fresh in the open air and bring some air that they're not being used to. But the habits of the customers that we're seeing is that they're buying their daily essentials and supplies more on ecommerce than they used to. And that trend I think will continue on because the domestic is going to continue on at 10% every year. If Canada needs to catch up with US and Europe and Asia in ecommerce, and also as the shift towards ecommerce for daily essentials rises or continues, we can certainly see that trend to be continuing on. But there could be some impact on the buying power of the people as interest rates goes up, as inflation goes up. So, there could be certain slowness and we recognize that, and that's why we can upscale, downscale, downgauge, we can adjust our costs every quarter or going into the next quarter if we find the slowness. We can also redirect aircraft into other segments that have a high demand.  So, the ecommerce is interesting. As you ask this question about the 10% growth, I can assure you that if I look at my top two, three ecommerce customers, they tell us that they're going to grow by 30%, 40%, 50% in the next couple of years. Again, we are well equipped if that growth doesn't materialize due to shift assets around where there is demand. That's what I can tell you right now. But our customers have not told us that they have any plans of scaling down anytime soon on the ecommerce side.
Tim James: My second question, just returning to the charter business and the charter opportunity, you provided some great detail on the demand environment there and kind of the moving parts and how strong demand is. And I'm wondering, does your fleet plan and your capacity allow you to keep CAD 40 million – it's a great problem to have. But does your capacity and planes coming in and out of the fleet or being moved around allow you to kind of keep this run rate of charter revenue going forward, at least in the short term? Or are you go going to lose access to some of those aircraft because they have to be deployed into other commitments. Or maybe it's, depending on sort of the timing, the weekly timing of those charters, maybe you can just kind of fit in that type of revenue run rate based on the low demand periods for the aircraft.
Ajay Virmani: So, actually, our charter revenue, what we see, has obviously been handled very, very carefully and especially with the shortage of aircraft. So, if we have three more aircraft today and I can assure you that they'll not be there if they won't be chartered or they won't be flying ACMI. So, with actually the new aircraft coming in, it'll free up some 767s for that kind of charter work and ACMI work. But also, I think we have also mentioned in the previous conference calls that we will be using at least two to three aircraft as spare and backup aircraft. And those backup and spare aircraft also have the charter capability in non-peak days and non-peak hours. So, with the addition of the capital plan being announced, we will increase our charter capabilities many folds as opposed to shrinking them down.
Operator: Our next question today comes from Kevin Chiang of CIBC.
Kevin Chiang: Ajay, you mentioned you're kind of in a unique position maybe versus some other freight companies because you have a demand situation that outstrips the capacity put into the market, so that that air pocket provides you with a buffer here in the event the economy took turns as some people are fearing. I'm wondering, is there a way to measure that dislocation, whether it's volume or block hours. Like, if you were to take advantage of all the demand in front of you, give a sense of what that would mean in terms of maximum block hours you'd have to put into the market or whatever metric you want to use. Maybe what does that looked like, say, a year ago at the height of a lot of this online shopping, like how much that dislocation would have looked like, let's say, like, 9 to 12 months ago?
Ajay Virmani: Kevin, the key thing is, it's kind of hard to look at what the demand will be and what the block hours will be. But the greatest strength we have is the flexibility. I'll give you an example. We were contracted by DHL to fly six flights a week into China as of April 1. And because China closed down, they said, okay, take this aircraft and go Europe. So we didn't miss a beat. And this is where we talked about the flexibility of the whole organization that we can quickly ramp up to any challenge that's thrown at us. And we didn't fly into China, but we did six flights a week into Europe. So, those are the kinds of examples that we have.  And we also at this stage, if we had three or four more aircraft – believe me, we can't get them fast enough. As a matter of fact, the next phase of four or five aircraft that are coming in are all committed. And they're running a few months late because of the conversion factors.  So, it's hard to quantify, but all we know is that, look, if it if we noticed a trend that – for a week or two weeks or three weeks that – and after consultation with the customers that we're not seeing the volumes on a certain lane, we can quickly downgauge those aircraft, and we can even rejig our network to avoid certain stops or eliminate certain routes at certain point that will bring in the cost efficiencies, which will be sort of matching capacity with demand.  So, we've been doing this for 20 years, Kevin, and there's not a day goes by where our whole team, Jamie especially, in terms of the capacity management and fleet management, we don't look at those things. So, we make decisions sometimes on a daily basis – oh, yes, today's Thursday, we're not expecting much from the customer, so let's try this out. And we end up saving block hours, fuel and all the costs associated with it. So this is a key thing for us that has been a key factor for our success and continue to match capacity and demand together.
Kevin Chiang: You mentioned some of the supply chain issues that were obviously acting as a tailwind for the air cargo market, and you've obviously been a beneficiary of that. Just wondering, given, I guess, the spike we've seen in fuel costs, at the margin, are you seeing, I guess, any modal shift back to cheaper modes, as shippers look to maybe manage the broader inflation. Air cargo was more expensive than other modes of transportation. Are you seeing the rise in fuel costs potentially or is that having any impact on kind of how some of these shippers are looking at using air cargo versus other modes of transportation?
Ajay Virmani: Well, fuel is always a factor that people look at it long term, right? Fuel impacts not only cargo, it impacts passenger travel. When you look at an airline ticket, when the fuel surcharges are more than the airfare, there's obviously a concern. At this stage, we have not seen or heard of any concerns because everybody's hoping that this fuel phenomena is going to be a bit of short term or medium term and nobody anticipates this to be a long term, because if this is a longer term, I guess everybody's in trouble them.  But generally, at this stage, we have not had any sort of push back. Yes, people are conscious about it and people not only are conscious about just in their freight costs, but they're conscious about putting fuel in their cars as well. So far, we have not seen it. But generally, the fuel is a big factor.  The other modes of transportation you ask have also gone up relatively much higher. In case of trucking, it's not just the fuel costs, it's the availability of trucks. A trailer that was a $35,000 trailer now costs $120,000, if you can just get it. There are hardly truck drivers. So, the other costs are also relatively higher. The ocean container that used to cost $10,000 from China, if you're lucky you can get it for $50,000. So, the other costs have relatively gone up much higher than the air freight costs. So, yes, there will be some adjustment of air freight costs and the pricing will eventually come down to some level. But I think, again, it's all a matter of what the relative costs are out there.
Kevin Chiang: Last one for me. You announced an NCIB this morning for 155,000 shares. I guess, under the automatic share purchase plan, am I to interpret that as you're committed to buying all those shares. So, 0.89% of the shares outstanding and you'll kind of buy that equally over the next year. And maybe just broadly speaking, how you think about an NCIB in the broader context of your cash flow – other cash flow priorities?
Ajay Virmani: That's an opportunity. If the market was to go down, yes, the NCIB kicks in. We heard from a whole bunch of investors and shareholders, institutional and others, that that would be a good strategy after consultation with our capital markets teams and various banks we deal with. We obviously feel that if certain prices are – the share prices remains at certain times down, then there's an opportunity to trigger the NCIB for sure. So, this is something that we feel our equity and stock is undervalued, so it's certainly one way of rewarding the shareholders is to buy that back. 
Kevin Chiang: Congrats on a good start to the year here.
Operator: We will now take a question from Nauman Satti of Laurentian Bank.
Nauman Satti: Just going back to the domestic network. I know you don't specifically see the B2B volumes or B2C, but just wondering with your conversation with your customers, has any trend changed? Is there anything underlying within that business that you could share any additional color or is that pretty much similar to what you've been seeing in the last few quarters?
Ajay Virmani: What we're seeing and what our customers are saying that, during the past few years, there was a tremendous increase of B2C business delivery. But they're seeing slowly a return of B2B as well and less B2C as the pandemic is winding down or slowing down, or at least not being impacted the way it was. So, there's more increase of B2B business. For us, it doesn't matter whether it's B2B or B2C. We don't kind of distinguish between the two in our sort of container. For us, it's a matter of freight, whether it's B2B or B2C, or we do airport to airport. But our customers do tell us that they're seeing less of B2C, for sure.
Nauman Satti: Is there a right way to think that B2B when it was down from pre-pandemic levels, if that sort of comes back to the same levels, let's say, pre-pandemic, and B2C as sort of the incremental revenue, so that's where the growth would come in. Is that the right way to think about it or it's just that the freight is moving between the two segments and overall growth would be a little less than that?
Ajay Virmani: It is somewhat right to think about it. I wouldn't just like to say that B2B and whatever you see is entirely incremental. So, some of the B2C that we will see has come out of the B2B sort of bucket, right? But the B2C that used traditional trucks or traditional modes of transportation are now being flown. So, I think there'll be net incremental. But I wouldn't say that there isn't that incremental all the way. But, yes, your thinking is definitely in the right direction.
Nauman Satti: On the cost side, last year, I know you guys had sort of put in some costs relating to COVID-19. Has all of those costs sort of fallen off? Or is there something that you can still take out of the system on the cost side?
Ajay Virmani: Well, there was a lot of costs for, let's say, testing, PPE precautions, and some of the things we made sure that our employees were safe. Yes, those costs have – some have fallen off, but been replaced with some of the after-effects of COVID, for example, some of the higher labor costs, cost of landings and cost of navigation. So, some of those costs triggered by certain third parties. [Technical Difficulty]
Nauman Satti: 65 or 64. Just wondering if – how much more of recruitment you still need to do on the pilots front? Or has it sort of stabilized? I know some people leave and some come in. But how's that looking? Are you guys getting at a normalized level or there's more to be done there?
Ajay Virmani: With the kind of business plan we have, we are running courses and have been running courses for pilots every month. And this month and next month is not going to be any different. I think we are about 330 pilots right now. We anticipate the year-end, with all the flying we're committed to doing and the demand out there, we are committed to anywhere between 75 to 125 pilots in the next 12 months adding in and we're continuously doing that every month.  Not 75 to 100 every month, but a total count increase from 330 by at least 100, I would say.
Nauman Satti: And if I remember correctly, you said it's 25 a quarter previously, right?
Ajay Virmani: Yeah, about that. We target about 8 to 10 or 12 every month.
Nauman Satti: Congrats on a good quarter.
Operator: We will now take a question from Cameron Doerksen of National Bank Financial.
Cameron Doerksen: Most of my questions have been asked and answered already, but just I wanted to get a better idea on ACMI, sort of the ramp up there, specifically with the DHL contract. Can you just remind us, I guess, how the incremental aircraft to that contract are coming in through the balance of this year and into 2023. I know you've got your aircraft deliveries shown in your MD&A here, but just wondering how quicky they actually on to contract with DHL once they've been delivered to you.
Ajay Virmani: Typically, we get an aircraft – for example, we have a 757 that was going to go into domestic service. But we need a couple more aircraft sort of to complete the loop. So we'll have that aircraft early. So, that aircraft arrived this weekend in Hamilton from being converted in China. And it is going to be placed in service within 15 days of arrival. So, it takes about a week to 10 days to do the paperwork with – deregister from the old country where it came from, so reregister in Canada and there is a maintenance bridging gap, like takes about 8 to 10 days to make sure that the maintenance is brought up to date and also complies with Transport Canada regulations. So, I would say that once the aircraft lands and it's already landed with at least 8 to 10 days into paint, it comes in here. And about 15 days after, we put it in service. So, there's not much of a lag because there's a lot of advanced preparation done. It's a fairly quick process once the aircraft gets in.
Cameron Doerksen: If I read, I guess, the delivery schedule then for the 767s that are coming in this year, I think there's one in Q2, one in Q4. So, we should assume that those basically go on to contract with the DHL and the ACMI in Q2 and Q4.
Ajay Virmani: Yeah, yeah. We're also, as I said, in discussion with other customers as well. So, I don't have exactly in front of me what aircraft is going where. But keep in mind, by the time some of the aircraft come, we'll have some peak requirements as well. So, they don't necessarily mean that, if July 1, an aircraft is coming, that July 15, it could be in DHL schedule. All I can tell you, there'll be gainfully employed by July 15 and it might be DHL, it might be another customer, it might be just covering for a c-check for maintenance. So, this is a complex fleet planning that we go through every year. And with all the extra flying we did during COVID, our airplanes do need some resting and some TLC. So, we have a strong fleet plan for this year because two things happen. If the maintenance is good, number one is your on-time performance and number two is your safety. So, both these things are critical. And sometimes it might take a month before we release the aircraft or exchange it with another aircraft or rotate it. It's a complex job that Jamie and his people do, as I said, almost on a daily basis to ensure that we get the maximum utilization, keeping safety and on time performance in mind.
Operator: We will now take a question from Ahmad Shaath of Beacon Securities.
Ahmad Shaath: A quick housekeeping item here. Remind us of the price escalation related to inflation in the contracts. I think it's – now is around the time that you guys passed those through. So maybe a little bit of discussion there, given the unprecedented times on inflation, any push backs on those and how are they faring against your cost increases? Are they exceeding or matching the customer the cost increases you guys are having?
Ajay Virmani: We do have cost escalations, annual CPIs, either CPI plus one, CPS minus one or CPI depending on the customer and their volumes. We also have the ability to pass through fuel, we also have abilities to pass through certain government surcharges and all that unexpected increases that we have to take. Nobody's happy to take any increases, as you know, but we have very strong customer relationships and we're not short-term thinkers in terms of it. Sometimes we do end up absorbing some of the charges, but not all of it for a period of time, so they can ramp up with customers. And this is technically how we build relationships with our customers that sometimes you do give them a little bit of a break for a period of time until they can recover from the customer. So, there are some lags like that and special circumstances, but, usually, the lag catches up and we do get whatever actual cost increases are.  But, certainly, costs like general labor cost increase, they can't be addressed this time around. But next time around, there's a contract opening, we do address those issues. Those are some of the stuff that – the general stuff we're seeing in the marketplace. It's not easy to recover right off the bat. But somewhere along the line, we catch up with it.
Operator: There are currently no further questions in the queue. 
Pauline Dhillon: Okay, thank you very much, everybody. That concludes Cargojet's Q1 quarterly call. 
Ajay Virmani: Thank you. 
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.